Operator: Good afternoon, and welcome to the Equinix Conference Call. [Operator Instructions] Also, today's conference is being recorded. If you have any objections, please disconnect at this time. I'd like to turn our call over to Katrina Rymill, VP of IR. You may begin.
Katrina Rymill: Good afternoon, and welcome to today's conference call. Before we get started, I would like to remind everyone that some of the statements that we'll be making today are forward-looking in nature, and involve risks and uncertainties. Actual results may vary significantly from those statements, and may be affected by the risks we identified in today's press release and those identified in our filings with the SEC, including our most recent Form 10-K filed on February 25, 2011, and Form 10-Q filed on July 29, 2011. Equinix assumes no obligation and does not intend to update or comment on forward-looking statements made on this call. In addition, in light of Regulation Fair Disclosure, it is Equinix's policy not to comment on its financial guidance during the quarter, unless it is done through an exquisite public disclosure. In addition, we will provide non-GAAP measures on today's conference call. We provide a reconciliation of those measures to the most directly comparable GAAP measures and a list of the reasons why the company uses these measures in today's press release on the Equinix Investor Relations page at www.equinix.com. We would also like to remind you that we post important information about Equinix on the Investor Relations page of our website. We encourage you to check our website regularly for the most current available information. With us today are Steve Smith, Equinix's CEO and President; Keith Taylor, Chief Financial Officer; Jarrett Appleby, Chief Marketing Officer; and Charles Meyers, President of the Americas. Following our prepared remarks we will be taking questions from the sell-side analysts. In the interest of wrapping this call within 1 hour, we would like to ask these analysts to limit any follow-on questions to one. At this time, I'd like to turn the call over to Steve Smith.
Stephen M. Smith: Thank you, Katrina. Good afternoon, and welcome to our third quarter earnings call. I'm pleased to report that Equinix delivered strong financial results, driven by a global adoption of Platform Equinix. Revenue was $417.6 million, up 6% quarter-over-quarter, and 26% over the same quarter last year. Adjusted EBITDA was $191.6 million for the quarter, up 31% over the same quarter last year. Net income was $20.3 million for the quarter, up 81% over the same quarter last year. We continue to see healthy demand for the Equinix value proposition, which is delivering another year of solid growth in 2011. We feel good about the current trajectory of the business. Strong market growth in mobile data, video, IP traffic, stores and cloud computing are driving higher demand for data center services. And we are well-positioned to accelerate the commercial growth of all of these trends. As a result, pricing remains firm, and we continue to achieve record quarterly bookings and significantly increase the number of cabinets billed. Churn also remains in our targeted range. At the heart of our success is Platform Equinix. Platform Equinix includes data center services with network choice, global presence in key markets across 5 continents and strategic vertical ecosystems. I would like to outline the strength of Platform Equinix by highlighting 3 important proof points from our third quarter results. The first is interconnection. This quarter we added over 3,700 cross-connects or over 10,000 year-to-date, and we saw traffic on our Internet exchange grow over 20% to nearly 1.3 terabits per second. As members of our vertical ecosystems enjoy the benefits of being located in close proximity to one another, Equinix benefits by adding new customers and pulling through additional sales of cross-connects. Customers are also attracted to our data centers to leverage access to now over 680 networks. We also have 94,000 cross-connects deployed globally, positioning us as the interconnection platform for leading businesses worldwide. A second proof point is the significant increase in global deployments. Customers are relying on Platform Equinix to quickly deploy their infrastructure around the globe. Year-to-date cross-border sales grew 83% year-over-year with a strong uptick in leading digital media and financial companies using our platform from key access nodes. Today, over 58% of our revenues come from customers deployed at multiple countries, up from 54% the previous year. No other competitor can deliver the value customers derive from our global footprint. And the third proof point is our success in extending Platform Equinix. This year we moved into Brazil to our investment in ALOG. In addition to the success in ALOG's core business, the number of Equinix customers seeking to deploy into Brazil has grown significantly. There are now over 60 opportunities in our pipeline, and we have already close several including a high-growth cloud provider and a leading provider of financial market data. New customers for ALOG highlighted that being part of Equinix was a key factor in their decision. This is proof that we have pent up customer demands to extend Platform Equinix to high-growth markets. As you may have seen earlier this week, we launched the Equinix Marketplace, which is the latest enhancement to Platform Equinix. Marketplace was created to make it easier for customers to conduct business with each other, whether it's by network connectivity, establishing interconnections among ecosystem partners or providing our customers with access to a rich range of cloud-based services. For the first time, Equinix customers will be able to see in one place what services and partners are available in each of our 99 IBXs, which is extremely valuable as ecosystems grow and the interconnections among members become critical for success in the digital economy. Equinix has enabled connections between customers for many years. But with Marketplace, it is substantially easier to see the partners, suppliers and customers present in every IBX. By creating a custom profile or store front in the Equinix Marketplace, such as those depicted on Slide 4, those services can drive revenue by promoting their products to other members of Platform Equinix. Buyers on the other hand, can quickly locate desired services and target data center locations from various suppliers. Examples of companies initially participating in the Equinix Marketplace include Abovenet, Bloomberg, GoGrid, Syniverse, Verizon and many more. Slide #5 shows the value Platform Equinix brings to each of our industry verticals. Networks can now tap into the estimated $5 billion market for communication services inside our IBXs by selling to other Equinix customers. This shifts their data center spend from a cost center to a revenue center. Finance companies view it as an financial exchange center because of the optimal access to trading platforms. And cloud providers are using our site to scale into markets, drive revenue and optimize performance. We believe Marketplace can be especially powerful for companies who want to access the cloud. Today, companies can reach over 275 pure-play cloud vendors and 525 IT service providers via Platform Equinix, that seamlessly deploy their infrastructure. An important example of this is Amazon Web Services Direct Connect, which is now available in our DC metro from Silicon Valley IBX. Customers can establish a secure private network by connecting directly to AWS, which can dramatically reduce latency and network costs and provide more consistent network performance than using the Internet. We already have our first orders for the service and AWS is planning to expand into Los Angeles, London, Tokyo and Singapore over the next several months. We expect continued momentum with this cloud hub strategy. CIOs are concerned with running their mission-critical data over the open Internet to access the cloud. And I believe Equinix can radically change how cloud users access critical infrastructure with our Direct Connect model. Now we'd like to spend a minute outlining our competitive landscape and target market. We see continuing segmentation of the data center services market into high-value data centers and those more focused on larger footprint co-location. Equinix has established itself as the leading provider of high-value data centers through the strength of our ecosystems, the reach of our global footprint and quality of our centers with unmatched reliability. With regard to larger footprint data centers, this type of offering is not a substitute for our highly differentiated IBXs, and this is not central to our core strategy. In fact, many of our largest and most strategic customers require a multi-tiered architecture to achieve their goals, which means that high-value data center services can be augmented with wholesale co-location that is primarily designed for large server farm deployments. We are very selective about working with companies that place value on the core advantages of Platform Equinix, which include our network density, the application performance, the direct ecosystem access, global reach and our mission-critical reliability. Our go-to-market model is focused on identifying verticals in ecosystems where these requirements really resonate. But let me stop here and turn it over to Keith to review the financials for the quarter.
Keith D. Taylor: Great. Thanks, Steve and good afternoon to everyone on the call. I'm pleased to provide you with a review of our third quarter results, including an update on the regional performance including results from ALOG for the quarter. With the exception of financial results, all other metrics exclude the impact of ALOG. So starting on Slide 6 of our presentation posted today, our financial results for Q3 were ahead of our expectations across all 3 regions with particular strength in the Americas. Global Q3 revenues were $417.6 million, including approximately $17.9 million attributed to ALOG, a 6% quarter-over-quarter increase and up 26% over the same quarter last year. Q3 revenues, on an organic basis, increased 5% over Q2, above the top end of our guidance range. Our strong revenue performance was partially offset by the volatility of our operating currencies in the quarter. The negative currency headwinds were $1 million when compared to the average rates used in Q2 or $1.2 million compared to our FX guidance range, of which $700,000 was attributed to the weakening of the Brazilian real. Our revenue strength both for the quarter and year-to-date was driven by strong bookings activities. Pricing for our cabinet equipment remains firm across each of our regions, and our bookings backlog remains healthy. Global MRR churn, including switch and data, but excluding ALOG was approximately 2% within our targeted range. We expect global MRR churn to remain at or below 2% for Q4. Global cash gross profit for the quarter was $273 million, or cash gross margin of 65%. There's [ph] strong quarter and year-to-date performance. Global cash gross profit is on target to surpass the $1 billion level for the year. Global cash SG&A expenses were $81.4 million for the quarter, below our expectations, primarily due to lower-than-anticipated spending across many of our SG&A lines including slower-than-expected hiring, a consistent theme throughout the past 3 quarters. As we look into Q4, we do expect to see an increase in cash SG&A spending primarily related to the full quarter impact of sales and marketing initiatives and IT projects. Global adjusted EBITDA was $191.6 million for the quarter, including about a $4.6 million attributed to ALOG. Our adjusted EBITDA margin was 46% and reflects a negative FX impact of $500,000 for the quarter when compared to either the average rates in Q2 or FX guidance rates. Our global net income was $20.3 million. Net income reflects an increase in interest expense of approximately $13 million related to $750 million high-yield financing in July as well as increased depreciation and amortization expenses from our recently opened IBXs or expansion projects. Earnings per share for the quarter was $0.20 on a diluted basis, which includes an approximate $11 million adjustment due to the mark-to-market movement of the redeemable interest in ALOG that we do not own. The largest contributor to this adjustment is the weakening of the Brazilian real. The liability will continue to get mark-to-market over the anticipated 3-year put/call period. This accounting treatment for the ALOG acquisition, in all likelihood, will continue to be volatile. Each quarter, we'll update you on the movement of this liability and how it affected EPS. Absent this adjustment, our diluted EPS would have been $0.42. Looking forward, the U.S. dollar exchange rate used for Q4 at a preliminary 2012 guidance was $137 for the euro, $157 for the pound and SGD $128 for the U.S. dollar. Our updated global revenue breakdown by currency of the euro and pound is 13% and 8%, respectively and the Singapore dollar represents about 6%. Turning to Slide 7. I'd like to review our regional results in the quarter starting with the Americas. Americas' revenues grew 6% quarter-over-quarter up to $268.9 million including $17.9 million from ALOG. Cash gross margins were steady at 68%. Adjusted EBITDA was $127.5 million, including $4.6 million attributed to ALOG, a quarter-over-quarter increase of 4%. Americas' adjusted EBITDA continues to scale driven by strong revenue growth, lower-than-expected SG&A spending, but offset in part by higher seasonal utility costs in the quarter. Including the dilutive impact from ALOG, Americas' adjusted EBITDA margin would have been 49% for the quarter. Americas' net cabinets billing increased by greater than 1,600 in the quarter driven by strong quarterly bookings at a conversion of our Q2 backlog to billable cabinets. Our record Q3 bookings are results of improved productivity from our expanded sales organization. Also the Americas sales force had its highest level of in region and out of region bookings ever, another proof point as to the value of Platform Equinix. In particular, the network vertical experienced meaningful growth as carriers continue to upgrade their next generation technology to meet the new and ever-increasing demands placed on their networks. We also experienced strong demand in the financial services vertical. Our digital and media content verticals scaled nicely in the quarter with the Americas region exporting sizable opportunities into both EMEA and the Asia Pacific. During the quarter, cross-connects in the Americas increased by over 1,700 and interconnection revenues represent 19% of our regions' recurring revenue. We have 2 new expansion projects underway in the Americas: Seattle and Dallas. The new data center is being built in the Seattle metro area to meet the demand for the network cloud contents and digital media providers. As a major IP traffic distribution point to Asia, our customers see this market as an important location for improving application performance. Also we are proceeding with the second phase of our other Dallas 3 IBX, as a result of the continued demand in this market. Looking at EMEA, please turn to Slide 8. EMEA had record bookings in the quarter in part due to the imported deals from the Americas, as well as strength in the financial vertical despite the negative economic backdrop in this region. Revenues were up 4% sequentially and 5% on a constant currency basis. Adjusted EBITDA increased to $38 million or an adjusted EBITDA margin of 41%, a 9% improvement over the prior quarter. The region's net billing cabinets increased by approximately 1,300, reflecting strong bookings performance across many of our markets and verticals. EMEA net bookings increased 39% over the prior quarter in part due to strong gross bookings as well as lower regional churn. We added over 1,000 cross-connects, which is up from last quarter. Interconnection revenues increased 8% quarter-over-quarter and remained at 4% of the region's recurring revenue. Our top EMEA market in the quarter was London, driven by success with the financial community, including the recent relocation of the BATS Trading platform to our LD4/LD5 campus in Slough. Our sites are increasingly serving as multi-asset trading environments covering equities, fixed income, currency and derivative platforms. Also we've successfully installed our first customer into our newly opened business continuity site in Milan, Italy. And now looking at Asia-Pacific. Please refer to Slide 9. Asia-Pacific region, despite the economic challenges in the Tokyo market, generated strong results for the quarter with revenues improving 8% sequentially or 7% on a constant currency basis. Singapore and Sydney performed extremely well over the quarter in the sales pipeline in these markets continues to grow. Adjusted EBITDA was $26.1 million, a 9% increase over the prior quarter. Cabinets billing increased by approximately 260 over the prior quarter, and unit pricing remained steady. MRR per cabinet increased 1% on a quarter-over-quarter basis, and up 11% year-over-year, largely due to increased interconnection revenues and favorable currency trends. Interconnection revenues in the region increased 10% quarter-over-quarter and represent 12% of the recurring revenues. During the quarter, Asia-Pacific added 900 cross-connects. Now looking at the balance sheet data. Please refer to Slide 10. Our unrestricted cash and investments balance increased over the prior quarter to approximately $1.2 billion, largely due to the recent high-yield financing. We also announced the completion of $150 million revolving line of credit, an operating line that will be primarily used to support our Letters of Credit and lease deposit requirements. Today we're very well-positioned from a liquidity perspective and expect to use a portion of our unrestricted fund to cash-settle our 2012 convertible debt, thereby avoiding 2.2 million shares of dilution. Additionally, we have sufficient remaining capital to fund future organic and inorganic growth opportunities such as bolt-on acquisitions. Our DSO remains low at 32 days, a slight decrease over the prior quarter. Looking at the liabilities side of the balance sheet, our quarter end gross debt approximates $3.1 billion. Our Q3 net debt leverage ratio is approximately 2.5x our Q3 annualized adjusted EBITDA. Our overall cash cost to borrowing rate is approximately 6.15%. Now looking at Slide 11. Cash flow attributes of the business continue to be very positive and track nicely to our adjusted EBITDA metric. This quarter we generated operating cash flow of $142 million, the results of strong operating results. Our Q3 discretionary free cash flow was approximately $115 million, a 26% increase over the prior quarter and better than expected. We expect our 2011 discretionary free cash flow to range between $420 million and $440 million. On a separate note, with respect to income taxes, our expectations have not changed since the last earnings call. We do not expect to see any meaningful cash taxes until 2014 or later. Looking at capital expenditures, refer to Slide 12. For the quarter, our capital expenditures were $132 million, below our guidance levels, primarily due to the timing of cash payments to our contractors. Ongoing capital expenditures were consistent with our expectations of $27 million. For the year, we expect CapEx to approximate $645 million to $665 million, including $115 million of ongoing capital expenditures. As a result of this investment, for the year, we expect to increase our sales inventory by 6% with another 9,150 cabinets to be delivered in 2012. Additionally, we funded many corporate and product initiatives, including Equinix Marketplace and Ethernet Exchange. And finally, consistent with the last quarter, I'd like to update you on the operating performance of our 21 North American IBX and expansion projects that have been open for more than one year. As a reminder, we target 10-year IRRs of 30% to 40% on a pretax basis. So turning to Slide 13, which we have updated to reflect the current same IBX performance for these projects. You will see that we're generating 32% cash-on-cash returns on the gross PP&E invested at a utilization rate of 84%. Also it's important to note that our 8 longest operating sites are 90% utilized, and have generated year-over-year revenue growth of 8%. This underpins our belief that we can continue to generate additional revenue and profit from these IBXs through the seal of incremental interconnection services, power services and price increases. We will continue to assess how to best allocate our capital, although to an extent, we believe we can achieve these financial results. It's important that we continue to invest in this form of profitable growth, while continuing to look for other ways to enhance shareholder value. Let me turn it back to Steve.
Stephen M. Smith: Thanks, Keith. Now let's move to Slide 14 for our 2011 and initial 2012 guidance. For the full year 2011, we expect total revenue to be greater than $1.6 billion, a greater than 31% year-over-year growth rate, including $45 million to $50 million revenues from ALOG and approximately $7 million of currency headwinds absorbed in Q4. Total year crash gross margins are expected to range between 65% and 66%. Cash SG&A expenses are expected to approximate $320 million. Adjusted EBITDA is expected to be greater than $730 million, and includes approximately $12 million in contribution from ALOG. We are maintaining our total CapEx guidance for 2011 at the range of $645 million to $665 million. CapEx guidance is split between expansion capital in the range of $530 million to $550 million, and ongoing CapEx of approximately $115 million. Shifting to 2012. I want to provide you with a directional view using current exchange rates of what we believe we can accomplish next year. On our Q4 earnings call on February, we'll provide you a more detailed update on our views for the year. Currently we expect our 2012 revenues to be greater than $1.87 billion, at the currency rates that Keith outlined earlier. This includes roughly $27 million of currency headwinds relative to guidance raised provided on our last call. Adjusted EBITDA is expected to be greater than $850 million. This includes roughly $10 million of currency headwinds to the prior guidance range. It is also our expectation that we can continue to improve our EBITDA margins over the next few years. We see strong demand across the globe, and will invest with discipline to capture these profitable opportunities. We are on trajectory to surpass our 2013 plan objective of over $2 billion in revenue and have set a new goal in our planning horizon of greater than $3 billion in revenue by 2015. We recognize that these are volatile times from a macroeconomic and market perspective, and despite these uncertainties, the technology trends are driving our business -- that are driving our business do remain robust, and Equinix is still a strong growth story. Since roughly 95% of our revenues are recurring in nature, this continues to provide high visibility into our operating model. We have over $1 billion in cash and investments on our balance sheet, giving us the strategic and operational flexibility to make capital investments at the right time. Based on our current analysis, we expect 2012 capital expenditures to be in the range of $700 million to $800 million, including expansion and ongoing CapEx to support the strength of demand and our plan to achieve over $3 billion of revenue by 2015. For 2012 CapEx, we have an implied expenditures of approximately $500 million related to already announced expansions, which includes $120 million of ongoing capital expenditures. I want to emphasize that there will be no change to our disciplined approach to expansions on any incremental projects above the $500 million, and we are confident that we will continue to achieve our targeted returns. So in closing, our long-term growth objectives are underpinned by a world-class organization focused on disciplined growth, supported by processes and systems to scale worldwide and a capital allocation strategy that maximizes shareholder value. Equinix will remain laser-focused on developing digital ecosystems that create value for our customers who place a premium on network density and require low latency to achieve high application performance and gain competitive advantage for their business. So let me stop here and let's open it up to questions. So I'll turn it back over to you, Jeff.
Operator: [Operator Instructions] Our first question comes from Michael Rollins from Citi.
Michael Rollins - Citigroup Inc, Research Division: Just curious if you could focus a little bit more on the 2012 CapEx guidance, specifically the -- for the new centers and new facilities. In terms of the confidence that you have with the economic backdrop, particularly in some of the international markets, can you talk about some of the conviction, maybe some of the tools you've used to gauge the appropriate amount of investments to make? Is there some sort of backlog, early commitments that you have? A little bit more insight maybe into some of the projects that you've got flagged now for next year.
Stephen M. Smith: Yes. Sure, Mike. Let me start and then Keith can add a few comments. I guess the first thing I would tell everybody on the call is that of the $500 million that we've announced, roughly 65% of that is aimed at Phase 2 projects in current campuses. So the campuses that we're already in, we have very good intelligence, we know the pipeline, we know the bookings, we know the fill rates, we know the competitive builds. So we have very good intelligence. So about 65% of that $500 million is aimed at Phase 2 projects on same campuses. There's another roughly 30% that I would call new sites in very established markets. And so the second component of that capital today that we've already announced is aimed at -- 30% of it’s aimed at new sites, but in established markets, where, again, we have very good intelligence. We understand the fill rates, we understand the competitive positioning. So call it roughly 95%, we have very good intelligence, same level of discipline we've been doing for years. And that leaves about 5% of this capital inside that $500 million that's aimed at what we would call new market development. So that's the first point, I guess, I would make to just unpack. There is no change, Mike, in how we're making these decisions. We have a 3-gate system, how we make decisions here. We start in the regions then we have a corporate review and then we have a subcommittee of the Board that finally, approves every CapEx position that we make. So it's a very thorough process. We look at the same amount of data, same return profiles for every decision that we make. Keith, would you add?
Keith D. Taylor: Yes, so Mike, let me just take you just one step further, and when Steve was referring to the 65%, 30% and 5%, that is actually -- that's over the entire CapEx base of $700 million to $800 million. But probably the most important here is Steve alluded to the fact that we go after the same economic returns. So I can take you back to 21 projects, specifically North America that drive 32% cash-on-cash return, and have effectively 75% cash gross profit. Now that's the type of investment we want to continue to make. Now having said all of that, Steve alluded to the fact that we launched the Equinix Marketplace this week, you think about Platform Equinix, and you think that all the proof trends that we see not only in our pipeline, but our backlog and recognizing we're targeting the right applications in the right locations. We're looking all the multi-tiered architectures to make sure we've got the right level of customer commitment into our data centers. It drives a lot more comfort in the, I think the stickiness of the revenue. And over time, quite frankly, we should see our volume continue to grow from a gross bookings perspective. And it's our expectation that you will see churn continue to moderate downwards over time. And so from those perspective, I think, it's really important that you understand the confidence that normally Steve and I have with the rest of the senior management team, but the regional presidents and the operating mechanism in those regions feel very comfortable about their ability to deliver strong performance against these investment decisions.
Michael Rollins - Citigroup Inc, Research Division: And Keith, if I could just follow-up, so thinking just about discretionary free cash flow, so if you're guiding this year -- I don't think you changed your discretionary free cash flow guidance of $420 million to $440 million. And presumably, is it fair to say that the EBITDA growth for next year in the guidance is $120 million? So is it fair then like say discretionary free cash flow for next year should be like a $540 million to $560 million number?
Keith D. Taylor: Well, we give you a greater than -- again, recognizing that we're giving you guidance for next year on the Q3 call. We're giving ourselves a little bit more flexibility with the greater than, both in the revenue and the EBITDA line. But looking at Q4, we guided -- pardon me, for 2011, we guided to greater than $730 million and next quarter or next year we're guiding to greater than $850 million That is about an incremental $120 million of EBITDA. And so from our perspective, thinking there's some implications, Mike, as you can appreciate on the timing of interest expense. But putting that aside for a moment, directionally, that's exactly what should happen. You should see a meaningful step up in discretionary free cash flow.
Michael Rollins - Citigroup Inc, Research Division: So I think and this is the crux on the question then is, if discretionary free cash flow can be at least $540 million for next year, and you're trying to maintain net debt leverage of 3x, so you're growing EBITDA by $120 million, $120 million times 3 is $360 million, plus $540 million is $900 million. Your growth CapEx for next year on the guidance right now, if we take the high-end of the range, would be $680 million. How are you thinking about that excess $220 million of cash flow that presumably you could invest in the business while maintaining financial leverage at a net debt-to-EBITDA ratio of 3x?
Keith D. Taylor: It's a great question. Well first as you know, we're going to set ourselves up to take that convertible debt in or around April 15 of next year. So assuming you don't have any incremental leverage on the books, at that point in time, basically you're going to use roughly $250 million, all else being equal to take that debt out. And also -- you also have to appreciate we want to have some level of strategic and operational flexibility with the cash that we have in our balance sheet to look at as we refer to bolt-on acquisitions. And as a company, we're happy and active we will continue to be active, and so we want to really have some flexibility around that. As you step forward, recognizing we have some limitations as you can appreciate with our high yield -- our first high-yield instrument with the restricted payment basket, we don't have a lot of, if you will, flexibly today or next year around how you deal with restricted payments. But as you look to [Audio Gap] we're well-positioned as a company to, of course, put more leverage on the books as we scale EBITDA. But we also have the ability to look at how we manage the distribution in of capital to enhance shareholder value. And so these are things that are very much top of mind in the company and something that we will continue to focus on very acutely over the near term, near to medium term.
Operator: And our next question comes from Chris Larsen of Piper Jaffray.
Christopher M. Larsen - Piper Jaffray Companies, Research Division: A couple of quick clarifications. Keith, you mentioned that SG&A was lower due to less hiring. And I'm wondering if you could just talk a little bit about why you might have felt the need to hire less, or was it unavailability of the right candidates or because of the economic situation, you're getting candidates at a lower pay scale? And then noticed that MRR per cabinet was down in Europe. Was that -- how much of that was due to FX? And is there anything else -- I've already gotten a handful of questions, is that something to be worried about? Or are those customers coming in at slightly lower power densities? Or you gave positive comments around it, so if I could just ask on that.
Keith D. Taylor: Yes, well let me take hiring first, and then I'll go on to the other questions. Hiring, we added roughly 120 net hires this quarter as you know. We put a lot of emphasis around the sales organization as we said last quarter, for all intents and purpose, we're near the completion of that. They're now -- the people are now on staff, if you will, and we're going to -- but you will fully, if you will, fully accounting for their salary and benefits because those only are for part of the quarter. So that was one of the comments. Number two, when you look at the ability to hire, particularly in the technical field, it is taking a little bit longer. And we have a very high expectation of our -- for our employees. And as a company, we just haven't been able to hire quite as many people as we anticipated. But having said all of that, we still have the same level we envisioned to put the right staff in the operating centers to make sure we run into the level -- we run in with the sort of the reliability and the confidence that people place on Equinix. So that must be something that we'll continue to work on. And part of the reason why you'll see that our spending will continue to be up. But equally so, we're also investing in our -- in the IT area. We're investing in what we call our global operations, which is basically credibility as the force that facing management, the electrical, the mechanical, the architectural of our data centers. And we'll continue to make investments in that area. So that's what we're really accomplishing. And then we have the seasonal impact of our annual audit and stuff like that goes through Q4 hence the uplift, if you will, in SG&A in Q4. But I go to -- when I deal with questions just on pricing in Europe, there's a couple of things. Number one, we -- currency is certainly impacting us. If you look at whether it's the Swiss franc, the euro, or the GB -- sorry, the British Pound, all of them had an impact. We're reporting this in local, I'm sorry, U.S. currency. So that's one thing. The other thing I think that's important to note, and we sort of alluded to that there's a number of -- there's some fairly sizable, what we call power draw that left the organization that had no profit attached to it. So what it did was effectively reduced the amount of revenue attached to the average unit, but had no margin attached to it. And that happened in the German market, and we experienced it in Q1, Q2 and Q3. And so for all those reasons, plus we have a lot of installs associated with the recent activity, it's adjusted, the price per unit slightly. I will tell you though, our view as a company, we are -- that metric that we showed you today is not something that we are concerned about. We have a good handle on what's causing it, and the operation performance of the business and our ability to get the pricing we expect is consistent with our needs.
Christopher M. Larsen - Piper Jaffray Companies, Research Division: And then I think I asked you this in the last quarter, but interest rates continue to fall. You've talked a little bit in the past about opportunities to buy some of the land under your buildings. Can you maybe give us an update on where you are in that status, in that progress, really I guess, following on a little bit on Mike's question on your net leverage.
Keith D. Taylor: Yes. Certainly, I mean, we do have -- let me step back for a second, Chris. There's 2 ways to look at it. There's just raw land out here, where we can build our own assets on top of -- certainly, we'll continue to look as an advantage, a strategic advantage. Then there's the buildings or the land that we already operate, some are leased and treated as operating leases, some are treated as capital leases. Some of the ones that look at capital leases effectively has -- that's part of what you call the sort of financing debt or the secure debt you see in our balance sheet. I think there's opportunities in discrete markets or discrete buildings that we will continue to review. But we want to make sure economically, it's a wise decision on how to deploy the capital. And it's something we will continue to look at, but there's nothing to announce at this stage other than to let you know that's something we're actually reviewing. And we'll see where the opportunities present themselves, but we just don't want to do a bad deal.
Operator: And our next question comes from Simon Flannery of Morgan Stanley.
Simon Flannery - Morgan Stanley, Research Division: Keeping on the CapEx theme, a couple of things. First, on the stuff that's not allocated to specific projects right now, how firm is that spending in your mind? Is this stuff that we could see announced in the next couple of months? Or is it still some way away. You obviously just announced Seattle relative to maybe your guidance you gave this time last year. And tied to that is maybe a little bit more color on macro? With a lot of different things going on around the world, you talked about Tokyo and obviously, there's a lot of concern in Europe. Are you seeing any change in behavior, customers may be postponing decisions or just taking a little bit longer in general? It looks like from your CapEx guidance and from your backlog commentary that really things are still very robust. But any sort of read you have on that will be very helpful.
Stephen M. Smith: Yes. Let me -- this is Steve. Let me start out with that. So level of firmness, the $700 million, $800 million, at this point, is our best intelligence. It's our best thinking. And it will unfold over the year because, as you all know, we do quarterly fill rate analysis. And on the back of that, we make decisions every quarter. So the cadence has not changed. We do -- we gather intelligence quarter-by-quarter. We do a fill rate analysis. We come in region by region, and we make decisions. So that will unfold as the year unfolds the -- above the $500 million that's already been announced. And then in terms of -- I’ve got to try and ask Charles to join us today, he might be able to give you some color in Americas. But generally in Europe, the way to think about Europe is that the Eurozone sovereign debt banking issues have not affected our business today. So the quarter, as Keith reported, has been -- was very solid in Europe. And we're not feeling the effect of that. In Asia, in all markets, we're very strong. The only exception, as Keith pointed to, is in Tokyo and it has nothing to do with the macroeconomic issues. That had everything to do with the earthquake. And we're a little soft in Tokyo, and our team in Asia is telling us that it could be that way for a quarter or 2. But the great thing about the diversity of our markets and business, it's not pulling us down. So we're very focused and actually, I think, I mentioned in the last call a lot of the market in Tokyo is taking a look at -- in Osaka. We are also during that. So we're -- we'll continue to monitor the Tokyo market as it unfolds, but a lot of the customers have held off in making decisions inbound and in the country. But Charles, how about some color on [indiscernible].
Charles Meyers: Yes. A couple of comments I'd make relative to the sort of health and trajectory of the America business and the Americas, as Keith noted, we actually continue to see our new sales resources ramp to productivity actually ahead of our plans with particular strength in a couple of our key verticals where they're actually, coming up to speed a little faster than what our models would have called for. And we're also, as the number showed, that we're seeing really strong global deployment demand. So for both for -- in Americas and then exporting portions of those externally. So -- and then people implementing these multi-tiered architectures, all of which is derived from just really strong secular trends behind the business. And that's strong Internet growth, mobility, video, social media, all things that are continuing to drive those deployments for our customers. So as a result, I think that on the CapEx question, we're really looking at the vast majority of that going into markets where we have very well-established demand, and are essentially projecting inventory addition just to meet up with where we see inventories up. It's -- if you look at our Americas business overall, it's just a -- this is very much an at-scale version of what I think you can expect from Equinix. We have, in 2011, sort of roughly in the neighborhood of $500 million in EBITDA, and that includes fully absorbing all of our corporate overhead. You take out of that the roughly $220 million in CapEx that we had, which includes our maintenance CapEx, and you get about $280 million of cash being thrown off by the business. That can absorb the entire corporate interest burden of about $170 million, and still have more than $110 million left over in free cash flow. So that's just a view of what I think you can look at as these businesses rescale. And we continue to feel very good about the overall trajectory of the Americas business.
Stephen M. Smith: I'd add one thing to that. As you think about going out to 2015, Charles and his team is also looking at double-digit growth on top of this at-scale business. And so Keith and I, for the rest of the business and the rest of the leadership team, are very focused continuing to invest in Asia and Europe to drive it towards the same level of scale someday. So that's at the heart of the decisions we're making here.
Operator: And our next question comes from Jonathan Schildkraut from Evercore.
Jonathan A. Schildkraut - Evercore Partners Inc., Research Division: A couple of housekeeping items, and then something a little more strategic. I was wondering if you could repeat, Keith, the currency assumptions for 4Q, and then what the expected currency headwind was. I'd also like to get where the RP basket stands.
Keith D. Taylor: Sure. So from a currency perspective, the breakdown is basically $13.8 and approximately $6 between sort of the euro, the pound and the Singapore dollar. And so right now we're using -- I'm sorry let me just -- right now we're using EUR 137, GBP 157 and SGD $128. And so when you think about that and the impact it has, if you look at Q4 relative to Q3, it's going to have roughly a $7 million impact on revenue. So if you just -- said differently, if you just add that back to basically the greater than guidance that we give you or use the implied guidance for Q4, you added roughly 4% quarter-over-quarter growth. Then if you look at the bottom line on an EBITDA basis, you got to add back roughly $3 million of currency in Q4. And so we're being diluted by that as well. And that gets you to roughly a greater than $192 million number from an EBITDA perspective for this quarter. And then if you take that exchange rates into next year, there's roughly $27 million on the top line and $10 million on the bottom line. And we're looking at currencies all this week, as you can appreciate Jonathan, the currency was better yesterday then it fell off today. We're using these rates because we don't really have better view on what it should be. And at least now, you can anchor-off those and if it moves one direction or the other, you get a sense of at least where we're going in and feel good about that.
Jonathan A. Schildkraut - Evercore Partners Inc., Research Division: Much appreciated. The restricted payments basket, where does it stand?
Keith D. Taylor: Yes, the RP basket today is one that -- roughly I guess, as a detailed calculation, but today at the end of Q3, roughly $191 million.
Jonathan A. Schildkraut - Evercore Partners Inc., Research Division: Great, all right. So as I look out strategically at what you guys are talking about, maybe reaching $3 billion in 2015, I guess what I realize is that embedded in those projections is potentially acquisitions, but if not, an acceleration in organic revenue generation. Every year, we look at the annualized exit rates, and see how much revenue, new revenue you generate on top of that exit rate. And while 2011 is the best year that I can remember. And 2012's guidance initially implies similar levels of organic revenue generation, when I do the math for $3 billion by 2015, the numbers have to actually accelerate off these levels. And so I was wondering if you might give us some context to think about what your perspective is on the growth rates of the company.
Keith D. Taylor: Yes, we'll tag team this one, Jonathan. Clearly, our expectations are that we believe, given what we've seen in front of us and the analysis we do with the vertical leads and senior management team here, is that we can continue to scale the business faster than we have before. And I'm talking about in absolute dollar terms, not specifically growth rates because of some the larger numbers.
Jonathan A. Schildkraut - Evercore Partners Inc., Research Division: Understood.
Keith D. Taylor: And partly because -- why do we feel that the investment we're making in our sales organization and all the tangential investments around sales and sales productivity that Charles alluded to, but also when you think about the marketing investment and the success of what we call Platform Equinix and the Equinix Marketplace, all of these things lead us to a view that when we think about the performance of the secular trends and how we can be -- we can influence that going forward, we get very comfortable that we can scale the business faster than we have in the past. And recognizing that comes generally with some CapEx, it's not really looking at what I call inorganic opportunities. Clearly, that's something you could add on. But there will be some new markets that we would attach to that. And off that $3 billion, just to size it for you, we're thinking roughly 5% of that could be in markets we're not in today. And Steve alluded to the Osaka market as an example. So that should hopefully give you a sense. Steve or Charles, you want to jump in?
Stephen M. Smith: I'd add one thing, Jonathan. It's a good question. I think one of the principles as we build our plans for the future with our Board is that we want to continue to grow this. We believe we can grow this thing as fast as we want. But we're very disciplined about the type of growth we want to bring in as we've been clear about. And we want to grow at or above market growth rates. So we could debate all day long how fast our market is growing or the ancillary markets, but we tend to shoehorn our plans into making sure we're gaining share. And we believe we are, based on our intelligence market by market. So generally, that's how we built the plans. We think we're doing that as we're entering the future. The investments you hear about today are not aimed at 2012, they're aimed at the growth of this business off to 2015. So we feel pretty darn good about it, and our trends, our secular macro trends are very, very strong.
Jonathan A. Schildkraut - Evercore Partners Inc., Research Division: Steve if you can just dive a little deeper in terms of some of the areas of growth? And you guys have discovered some new ecosystems over the last several quarters, which have contributed to your growth. You've added some new talent in different areas in the sales force that have given you accelerated growth in existing verticals. Do you reach a point of maturation from an interconnect perspective or from a saturation perspective within a vertical? Or you continue to see growth in some of your more historic growth engines?
Stephen M. Smith: Well, let me -- that's a very good question also. It starts for us with the networks. And we have all the vertical and ecosystems off the back of the network. So when we say we go from 675 to 680 networks in a quarter, we're very focused on who the next target networks are and we want to get the Tier 1 networks in deeper into more markets. So we have very robust global account plans to do that. And then on top of that, all the industry vertical set and the ecosystems set, which take advantage of those networks. And so our whole focus is to go deeper into the current ecosystems, which are around our network peering, our digital media stuff as well as the electronic trading. Now mobility and cloud are the 2 new areas that we are right at the intersection of and believe we are well-positioned to help frame an ecosystem, communities of interest, and we're well on the way to do that with the platforms we're bringing in. We're very focused on these global platforms winners. There's probably going to be a dozen big winners. We're very targeted on who we want to get in and how many locations we want to get them in. So it's vertically oriented. We have subject matter experts. We have solution architects. We have people that are skilled in these verticals and that's been underpinning the sales time we've been doing and we're going to continue to go deeper in that. Jarrett, I don't know if you'd like to add.
Jarrett Appleby: Yes, just to bring it home with some [indiscernible], we have over 275 cloud plays. They're natural cloud hubs. We're at the center of that. Marketplace is a great enabler for that, and we're up now over 100 pure-play mobility providers in distributed marketplaces. These are too very high growth opportunities for our us on the ecosystem side.
Charles Meyers: Yes. This is Charles. I'll add one point and that is cloud service providers are very natural fit for our value proposition. They tend to be revenue facing. They tend to be highly distributed. They tend to be performance-sensitive and they tend to be global in nature. And so as we look at those opportunities in our funnel, we get a high win rate and very firm pricing because the of the value delivered to the customers. That's a big area for us.
Operator: And our next question comes from David Barden of Bank of America.
David W. Barden - BofA Merrill Lynch, Research Division: I guess 2, if I could. Just first, obviously, there's been a lot of optimism about the demand picture and the CapEx. Keith, I guess, it's the opportunity to put you on the spot, which is obviously, the low-end of your full year guidance implies that EBITDA is going to go down $2 million in the fourth quarter. I doubt that that's really going to happen. But even if it did, getting to your minimum next year guidance would suggest about a $6 million sequential EBITDA growth over the course of the year. Year-to-date, if you exclude one-time items and currencies and whatnot, your growth has been actually averaging about $10 million. And so with a 60% larger sales force and the new space that you're building off the back of $600 million in CapEx this year, I guess how do you explain a baseline expectation that's about half as fast in terms of growth next year as it is this year? And then Steve, if I could just ask you a little bit about the consolidation we've seen in the industry this point in time. With respect to the CapEx, are you seeing a window of opportunity as we've got a lot of decision makers get removed from the Marketplace instead of Status and CenturyLink making independent decisions or Terremark and Verizon, making independent bill decisions, they're coming together. They're harmonizing their plans, they're probably looking to spend fewer dollars rather than more dollars. And is this creating a big window of opportunity for you to kind of be the guy that's their first with the capacity.
Keith D. Taylor: Great, question, David. So let me take the first one and then pass it over to Steve. As I mentioned with one of the other callers just that $3 million of FX impacting Q4, that basically just to the greater than, you get at or slightly above what our EBITDA was for Q3. Recognizing though that we do have a greater than and I think most people on the phone understand that we, as a company want to continue -- can be somewhat conservative, but we also want to make sure we're driving the right decision and get the right timing and recognizing we're not even in a budgeting exercise. We're starting that next month. We're going to go through a fairly robust budgeting exercise, much deeper than what we've done to get to where we are today. And then we can start to give you more detail on the fourth quarter call. But we are giving you a greater than today. And it's a step up, but I -- it's a step up in absolute, but I recognize, on a sequential basis, it's not quite as robust as we did this year. Currency does have a little bit to play with it here. But we're also making continued investments in some important areas. We envision making some investments in some areas, which we'll share more with you in Q4 call that can affect just the EBITDA line, recognizing as Steve said, we want to continue to see improving EBITDA margin. That is the objective for this team to set for itself. And we want to continue to work towards that. So hopefully, that gives you enough. Now let me just pass it over to Steve.
Stephen M. Smith: Yes, David, on the consolidation question, I guess we probably are looking at it in 2 buckets: One, the general primary IT services players, the 2 you mentioned. And in our mind, it reinforces our position as the only global network neutral provider out there today with a very unique value proposition, and just separates us. And yes, it does position us for more opportunity. And we believe we are positioning ourselves to take advantage of that. But on a more macro level, I believe our team here thinks that it's a sign of the strength of the market. And I think it's good for the long-term health of our customers and the long-term health of the market. So it -- both of those acquirers and acquiries are customers of Equinix and we continue -- are now continuing to grow with us. So it's an interesting situation. We're also watching it on the financial side. And as you all know, there's several financial exchange potential consolidations. But again we don't -- we do that as generally positive. It doesn't reduce the need for -- or the economic benefit that's being done in these carrier neutral vendor, neutral sites versus a captive model, a captive exchange model. So I think in all cases, we see benefit, and historically, we have seen benefit out of consolidation. So it is in an area that we're concerned about losing customers or share and we're very close to all the customers that are participating in these consolidation conversations.
Keith D. Taylor: [indiscernible] is relative to our win rate, down in the field, win rate -- one of the things that drives our win rate is simply customers who need to feel confident that the capacity available to them to expand is going to be there. And that's what I think this represents that opportunity for us as we continue to invest in. And that's one of the big reasons why customers are choosing Equinix.
Operator: Your next question comes from Clay Moran from Benchmark.
Clayton F. Moran - The Benchmark Company, LLC, Research Division: Two questions. One on the quarter, the third quarter. The managed infrastructure revenue was higher than we had expected. Just wondering if that has -- it was what you had expected in your guidance, and was that bump up essentially all due to ALOG and to the importance of managed infrastructure continue to grow. And then secondly, if you could just give us a sense for your plans in China.
Keith D. Taylor: Okay. Why don't I take the first one? So with managed infrastructure, we're taking -- this first quarter, we have the full quarter impact of ALOG asset, whereas last quarter, it was only for 2 of the 3 months. And so it's not inconsistent with what we expected. We did give guidance for the ALOG asset on the last call. And we were -- we said $18 million to $20 million of revenue. It came in at $17.9 million, but they absorbed -- that includes $700,000 of currency headwind, so they're right in our sort of guidance bucket, if you will. So there's no meaningful change there.
Stephen M. Smith: And in mainland China we've had great momentum over the last 4, 5 months in the relationship -- the partnership we have in Shanghai. It is -- I would call it a tough priority for us to figure out how to continue to position ourselves not only deeper into Shanghai but into Beijing. There are, as you all know, several large Internet companies that are starting to export into the U.S. and European markets. We are going to position ourselves to take advantage of that and have some resource in Mainland China to start to build those relationships and discuss Platform Equinix. So we're thinking about it from both sides, top of the list for us, for sure.
Clayton F. Moran - The Benchmark Company, LLC, Research Division: And that partnership, are you a minority equity owner of the company? Or how does that partnership work?
Stephen M. Smith: The current relationship we have is a current local provider that we have a -- we took down space with them and we're reselling it with them through our customers around the world. So it's a go-to-market partnership.
Clayton F. Moran - The Benchmark Company, LLC, Research Division: Is that -- but is the former, something you would consider doing to expand in a greater way in China to actually be an owner? Or is that not on the table?
Stephen M. Smith: Well, I think all options are on the table. We're looking at organic growth, inorganic growth. The BRIC countries, as we all know, for this business model, a lot of the companies been focused on the BRIC countries for many years. So our business model now in Brazil, with the play we made there, China, Russia and India, they're at the top of the list for us in terms of potential places where we can enact this business is model and bring the same positive benefits we brought to Europe and to the Americas. So we're looking at all options.
Operator: And our final question comes from Robert Dezego from SunTrust Robinson Humphrey.
Robert Dezego - SunTrust Robinson Humphrey, Inc., Research Division: Can you talk about maybe some of the assumptions you made for competitive builds in some of the markets where you're investing in 2012? And maybe where you see pricing in these markets moving in specifically in areas where there's maybe, more or less, new capacity? And the second question would be are you seeing any change in the type of churn that you're seeing, i.e., like, what kinds of deployments are actually leaving your data center now in that 2% churn number versus the kind of deployments that were leaving, say a year ago or 2 years ago?
Stephen M. Smith: Charles why don't you take that because I think it's more prominent in U.S. market, what's going on between the wholesale and the retail.
Charles Meyers: Yes, I think in terms of -- in all of our investment decisions whether it be wholly new builds or extensions or existing campuses, the competitive environment and what we see on the horizon in terms of other builds is always part of the calculus. What I will tell you, however, is that the vast majority of the supply coming out of the market, we view as relatively undifferentiated large footprint supply. And it's simply not substitutable for our core IBX value proposition. And so we highlighted that in the script, and that's definitely what we continue to see. And associated with that in answer to other question is pricing remains very firm. We think the value proposition is strong, and as a result, both our deal mix from small-, medium- and large-sized deals, we were moving firm in pricing across all 3 of those deal sizes and the mix is favorable. So we see strong demand in the market relative to that.
Stephen M. Smith: [indiscernible] on the churn side too.
Charles Meyers: On the churn side, yes, I'm sorry. Relative to churn, I think that we are -- we continue to see a good trajectory and trend on our churn line overall. I think that, that's driven by a couple of factors. Very rigorous qualification on the front end, which is we're getting the right applications on the right assets. We do see some, what I would consider to be positive churn, which is us simply working with customers to implement multi-tiered architectures where a portion of their architecture may, in fact, be better suited to a wholesale footprint or something outside of the Equinix facility. And as we work through some of those -- but we continue to retain very high-value business and for quite frequently, free up capacity that we can sell at a higher price point to other customers. So that's sort of the churn dynamic that we face today and we've been very pleased with the progress. We always see -- there's always the prospect of some lumpiness in churn. But overall, the trajectory and nature of that churn, in our view, is very positive.
Robert Dezego - SunTrust Robinson Humphrey, Inc., Research Division: Okay. And haven't seen any kind of difference in the customers that are actually, like what kind of deployments are actually leaving the data center?
Charles Meyers: Again, I think it's when they have a multi-tiered architecture and that third tier in the architecture is something they may want to deploy elsewhere and that can happen in content and in other verticals as well.
Katrina Rymill: That concludes our Q3 call. Thank you for joining us.
Operator: Thank you for participating in today's conference. You may now disconnect at this time.